Mike Barajas: Good morning and welcome to the Spark Energy's First Quarter 2021 Earnings Call. This call is also being broadcast via webcast, which can be located in the Investor Relations Section of our website at sparkenergy.com. With us today from management is our CEO, Keith Maxwell; and our CFO, Jim Jones. Please note that today's discussion may contain forward-looking statements, which are based on assumptions that we believe to be reasonable as of this date. Actual results may differ materially. We urge everyone to review the Safe Harbor statement in yesterday's earnings release, as well as the risk factors in our SEC filings. We undertake no obligation to update these statements as a result of future events, except as required by law. In addition, we will refer to both GAAP and non-GAAP financial measures. For information regarding our non-GAAP financial measures and reconciliations to the most directly comparable GAAP measures, please refer to yesterday's earnings release.
Keith Maxwell: Thank you, Mike. I want to welcome everyone to today's earnings call. I begin by providing a summary of results from this first quarter and then our CFO, Jim Jones, will provide more details on the financials. In the first quarter we reported adjusted EBITDA of $32.7 million. The decrease in gross margin year-over-year was largely offset by the reduction in G&A expenses and customer acquisition cost. Spark's adjusted EBITDA reflects normal day to day operations of the company absent the week of the winter storm, Uri, which obviously was an extraordinary non-recurring event. Winter storm Uri resulted in a $60 million add-back adjusted EBITDA as a one-time non-recurring event. Looking forward to the remainder of 2021, we believe the storm has negligible impact on our future ambitions, and has already opened up a number of potential acquisition opportunities, as well as reduced the current competitive environment. Spark will continue to execute on all our initiatives of ramping up organic sales while with several acquisition opportunities. We are also excited to announce on January 19, 2021 we increased our working capital facility by $25 million to a new total of $227.5 million. As of March 31, 2021 we have $121 million in total liquidity to fund our ongoing operations and potential tuck-in transactions and future endeavors. We would like to thank our bank group for their partnership and continued support, we believe this liquidity puts us in an advantageous position in regard to new opportunities that we're currently working on with number of projects in the renewable space. Stay tuned as we expect to make several announcements in the coming months regarding our focus on ESG strategies, transforming the company into new areas to supply in markets . That concludes my prepared remarks. Now, I'll turn the call over to Jim for his financial review. Jim?
Jim Jones: Thank you, Keith. Good morning. In the quarter we achieved $32.7 million in adjusted EBITDA compared to last year's first quarter of $30.3 million. Retail gross margin for the quarter was $50 million compared to $55.5 million last year. The impact of winter storm Uri on adjusted EBITDA and retail gross margin resulted in add-backs of $60 million and $64.9 million respectively. In our retail electricity segment, gross margin was $30.6 million compared to $30.8 million in the first quarter last year. Volumes were lower due to a reduction in our customer base. However, our load is now concentrated in structured  margin residential customers. In our retail natural gas segment, gross margin was $19.4 million compared to $24.7 million in the first quarter last year. This decrease was attributable to lower volumes and improved unit margins as a result of favorable commodity prices. G&A expenses of $12.7 million were lower compared to $25.7 million in the first quarter last year, primarily due to a decrease in legal expenses, bad debt, executive compensation, employee cost and broker fees incurred in 2020. Total RCEs in the first quarter were 367,000. Our attrition of 4.2% is down from 5.7% from the first quarter of last year. Total RCEs in the first quarter last year were 585,000.
Keith Maxwell: Thanks, Jim. Entering the second quarter of 2021 we're committed to investing in multiple sales channels that will ensure that the business can grow our customer book post COVID-19 period. We want to thank our employees and suppliers for their hard work producing a good quarter and want to thank Spark customers for choosing us as their energy provider. We look forward to some big news connecting you soon. Thank you very much.
Q - :